Operator: Good morning. And welcome to SunOpta’s Second Quarter Fiscal 2021 Earnings Conference Call. By now everyone should have access to the earnings press release that was issued this morning and is available on the Investor Relations page on SunOpta’s website at www.sunopta.com. This call is being webcast and its transcription will also be available on the company’s website. As a reminder, please note that the prepared remarks which will follow, contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We refer you to all risk factors contained in SunOpta’s press release issued this morning, the company’s annual report filed on Form 10-K and other filings with the Securities and Exchange Commission for a more detailed discussion of the factors that could cause actual results to differ materially from those projections and any forward-looking statements. The company undertakes no obligation to publicly correct or update the forward-looking statements made during the presentation to reflect future events or circumstances, except as may be required under applicable securities laws. Finally, we would like to remind listeners that the company may refer to certain non-GAAP financial measures during this teleconference. A reconciliation of these non-GAAP financial measures was included with the company’s press release issued earlier today. Also, please note that unless otherwise stated, all figures discussed today are in U.S. dollars and are occasionally rounded to the nearest million. And now, I’d like to turn the conference call over to SunOpta’s CEO, Joe Ennen.
Joe Ennen: Good morning and thank you for joining us today. With me on the call is Scott Huckins, our Chief Financial Officer. Our second quarter results of nearly 10% revenue growth and 61% EBITDA growth demonstrates the strength of our strategy and the quality of our execution against our corporate priorities. These priorities are portfolio transformation, accelerating customer-centric innovation and doubling the plant-based business. We continue to emphasize topline growth in our plant-based business and improving profitability in fruit-based. The significant revenue increases we are realizing in plant-based beverages reflect our competitive advantages combined with continued strong consumer demand. In our fruit-based business unit, the progress we continue to make is being driven by internal efforts to optimize customers, capacity, operating costs and pricing. Before I begin unpacking our Q2 results, let me offer three key takeaways from the quarter. First, the momentum in plant-based beverages remains strong and continues to be led by oak-based products and by our core customers. Second, based on our business development pipeline with existing and new customers, we remain optimistic about the long term growth prospects for our plant-based portfolio. Third, though we remain very focused on co-manufacturing, our portfolio of own brands in plant-based is also performing well, delivering solid gains, helping us bring innovation to market faster and increasing in importance in both revenue and margin. Let me first start with a high level view of key accomplishment from the second quarter and then I’ll share some of the details by segment. Overall, second quarter results were ahead of the outlook we shared with you on the Q1 call. For the second quarter total revenue was up 9.7% versus Q2 2020 to $202.3 million and up 17.5% compared to Q2 2019. Gross margin improved by 40 basis points to 13% and adjusted EBITDA advanced 60.8% to $16.1 million or 8% of revenue. Plant-based continued to be our key growth driver, while our focus in fruit-based remained on improving productivity and profitability, and we demonstrated the significant leverage inherent in our model with adjusted EBITDA increasing at a much faster rate than revenue. We are pleased with the progress of our strategic initiative around expanding capacity in plant-based and improving productivity across the network. Manufacturing is core to our business and the progress we have made in transforming our operations has been impressive. From multiple capacity expansions in plant-based to footprint optimization and automation in fruit, we are building real competitive installation in our business. The added production we brought online in plant-based in the fourth quarter of 2020 is performing well, giving us headroom to aggressively pursue new business opportunities. Our Allentown project is also tracking the plan, expected to be operational in late Q4 and we are starting a similar sized project in Modesto. Automation implemented in our plants is driving solid gains in productivity and making us more nimble around core capacity utilization. We have made considerable progress in consolidating our fruit-based operation with the exit of our South Gate facility in July and closure of our Santa Maria facility in Q1. Finally, we’ve made significant progress de-risking our fruit-based operations including sourcing 3 times more fruit from South America and processing over 50% more in Mexico versus a year ago. The trends around plant-based combined with our strategically advantaged capabilities have set the stage for yet another expansion of our plant-based operations. I am pleased to announce that we are in the final stages of negotiating a lease for the construction of a new mega facility in the Dallas-Fort Worth area to support long-term growth in our plant-based business. This greenfield 275,000 square foot facility is by far the largest CapEx project we have ever undertaken. Having capacity to grow is a core element of our five prong service offering and we are excited that this capacity will continue to allow our customers and our brands to keep pace with consumer demand. The plant is expected to be operational by late 2022 and will augment the incremental capacity we brought online at the end of 2020 along with the Allentown and Modesto expansion projects. In aggregate, the projects we have in motion now effectively give us the ability to double the business. We have intentionally designed this project to be developed in phases as customer demand rises. In addition to supporting continued growth in our core business, this new facility broadens our geographic footprint, adds new capabilities and further strengthens our competitive position as a partner for our customers. With this new plant we will have facilities in the East, the West, the Midwest and now the South allowing us to offer very competitive cost and improved environmental footprint and redundant manufacturing capabilities to lower risk for our customers. The added scale will improve our margin profile over time as we expect to realize further supply chain savings by having a more efficient national network. Now let me turn to our segment results, starting with our plant-based segment. We have three strategic priorities. First, build a competitively advantaged business model around quality, capacity, cost customer service and R&D. Second, build a robust ingredient business to enable further participation in refrigerated plant-based milks. And third, build a multipronged go-to-market business that includes co-manufacturing, private label and owned brands. Results in the second quarter show significant progress on all measures, including a 21.4% increase in plant-based revenue, which was on top of an 11.9% increase in the second quarter of 2020 generating a two-year stack of 33.3%. Now let me share a bit of a retail sales category data to help frame our results. The plant-based beverage category in retail continued growing despite overlapping COVID frenzy of Q2 2020. For the 13-week period that aligns with our Q2 plant-based milks increased 3.7% overall due to continued strong sales of oat milk. From a foodservice standpoint, plant-based milks are an ingredient in coffee beverages, and therefore, we don’t have syndicated data for foodservice. But based on our sales results, it is safe to say there were robust sales of plant-based coffee drinks in foodservice. There are three primary drivers of our growth in the quarter, from a product standpoint it was oat milk, from a channel standpoint it was foodservice and from a go-to-market standpoint it was both our core co-manufacturing customers and our own brands. Oat milk accounted for half our growth in Q2, which is similar to what we experienced in Q1. Importantly, the gains we’re realizing in oat milk are coming from both existing customers like Starbucks, as well as winning new business. In addition to strong foodservice new business, we signed a multiyear extension to continue supplying oat milk to a large CPG company who is currently the market share leader in retail oat milk. Their sales success along with strong results from other customers provide authentic marketplace testimony to the quality of our oat milk and the proprietary manufacturing process we have built to help our customers differentiate their product offerings. It is quite likely that the demand we are seeing for our industry leading oat milk will necessitate the construction of yet another oat processing system in the not too distant future and would be in addition to the Texas project. As I mentioned we will phase this project in, as good capital stewards. From a go-to-market standpoint, we saw very strong growth in our top five customers, with sales growth of 49% in the quarter. As it relates to our own brand, the addition of Dream and WestSoy which we acquired in mid-April were additive to plant-based revenues in the second quarter accounting for approximately 4 percentage points of our segments growth. In addition to this, our recently launched brand of organic oat milk creamer SOWN is seeing strong sales velocities in both retail and e-commerce and is gaining distribution with a line of sight to being in over 3,500 stores by year end. From a channel perspective, our growth in plant-based during the second quarter was more concentrated in foodservice, which has been experiencing a rebound versus last year when COVID was significantly pressuring this channel. Moving to our fruit-based segment our three strategic priorities are number one, de-risking the business through geographic diversification, customer pricing programs and better grower relations. Number two is it focused on becoming the low cost operator in frozen fruit through automation and footprint reengineering. And number three is to evolve the portfolio via innovation towards more value added offerings. We made solid progress against all three of these in the quarter. We’ve been focused on supply chain reengineering to lower costs and improve margins, which is expected to enable us to deliver sharply higher earnings when revenue growth returns to a consistent upward trajectory. Second quarter results in fruit-based were illustrative of these efforts. Despite revenue being down 1.9%, we showed improvement in both segment level gross margin, as well as segment level operating margin. Similar to plant-based the normalization of at-home consumption trends contributed to lower retail sales volume of frozen fruit, partially offset by increased foodservice volume. For the 13-week period that coincided with our results, retail frozen fruit category sales were down 1.7% due to lapping significant COVID driven growth in the prior year period. It’s a much different story in fruit snacks with the category experiencing strong growth of 10.4%. Our initiatives around rationalizing marginally profitable customers and products were another factor pressuring fruit-based revenues in the second quarter. Finally, supply constraints with certain fruit varieties negatively affected revenue from blended fruit offerings. This was also a headwind in Q1, so not a surprise. Partially offsetting these factors was a strong performance in our innovation driven fruit snacks business, reflecting volume growth from new business development and very strong consumer demand. Finally, increased commodity pricing for raw fruit provided a 3% lift to second quarter fruit-based revenues as we passed along higher cost to customers. From a customer standpoint, lower distribution from large retail customers coupled with supply challenges negatively affected our frozen fruit business in Q2. Conversely, significant growth especially from large CPG customers in snacks drove revenue and margin increases. Our top five strategic customers in snacks collectively grew 76% in Q2 versus the same time in 2020. As part of our effort to evolve the portfolio through innovation to more value-add, we are launching a line of value-added fruit-based breakfast bowls. This is a rapidly growing segment with brands like Tattooed Chef and we are excited about the innovation we are bringing to this segment. Some of the bowls we are launching we’ll have fruit smoothie based, whole fruit and toppings like Kellogg Crisp and Granola. We are also launching cheesy bowls, which feature a cheesy-based and whole blueberries. Consistent with our agnostic go to market approach this product innovation will launch in some retailers under our brand Sunrise Growers. It will launch as a private label offering and other retailers and we are also in development to co-manufacture this product for a large CPG company. We are currently in test with the major club store chain under the Sunrise Growers brand and we have authorization from several customers starting in Q4 of 2021 and rolling into 2022. In summary, we continue executing at a very high level across the organization. Through the first half of 2021 we’ve delivered on our plan of aggressive plant-based growth, higher margins and substantial growth in adjusted EBITDA. We’ve been winning business with new customers, capturing additional business from existing customers, adding capacity and expanding our portfolio of products, coupled with our strong balance sheet SunOpta remains well-positioned for substantial long term growth in some of the fastest growing CPG categories. All of which supports my continued optimism for the future. We remain committed to the previous 2021 outlook, and believe our strategies and our team will continue to deliver as we seek to fuel the future of food. Now, I’ll turn the call over to Scott to take us through the rest of the financials. Scott?
Scott Huckins: Thank you very much, Joe, and good morning, everyone. We’re excited to report another solid quarter. As Joe mentioned, second quarter revenues of $202.3 million, were up 9.7% year-over-year, as strong volume gains led to a 21.4% increase in plant-based, while fruit-based had a modest decline of 1.9%, as we continue to focus on rationalizing marginally profitable business. Adjusted EBITDA increased 60.8% to $16.1 million as our strategic focus on growing the plant-based and optimizing fruit created significant leverage across our business. Gross profit was $26.3 million for the second quarter of 2021, an increase of $3.1 million or 13.2%, compared to $23.3 million during the second quarter of 2020. The plant-based segment accounted for $3.2 million of the increase in gross profit due to higher volumes, the addition of the Dream and WestSoy brands and productivity improvements within our plant-based beverage and ingredient operations. Gross profit in the fruit-based segment was basically flat, as lower volumes of retail frozen fruit, higher strawberry and transportation costs, and unfavorable foreign exchange impacts from a stronger Mexican peso were largely offset by volume growth in fruit snacks and fruit-based toppings along with productivity gains in the plants. As a percentage of revenues, second quarter gross margin was 13%, compared to 12.6% a year ago, a 40-basis-point increase. The plant-based segment gross margin was 17.9% down only 30 basis points from last year. This is a very strong result considering plant-based absorbed 110 basis points of depreciation expense associated with the capacity expansions we added in the fourth quarter and 40 basis points of increased transportation costs. These headwinds were almost entirely offset by increased revenue and productivity gains, reflecting our investments to drive scale and efficiency. Raw material pricing did not have a material impact on plant-based gross margins because of the waiting toward co-manufacturing customers which tend to operate under pass-through pricing arrangements for all raw material inputs. Gross margin in the fruit-based segment was 7.1%, compared to 7% last year, an increase of 10 basis points. Our near-term focus in fruit-based continues to be optimizing profitability through a combination of rationalizing marginal business, improving productivity, taking costs out of the business and focusing the business around our large retail customers. Operating income was $1.7 million in the second quarter, compared to a loss of $0.4 million in the prior year. SG&A increased $0.8 million or 3.8% to $22.7 million as integration expenses related to the Dream and WestSoy acquisition were partially offset by lower variable compensation costs. Loss attributable to common shareholders from continuing operations for the second quarter was $1.7 million or $0.02 per diluted share, compared to a loss of $7.7 million or $0.09 per diluted share during the second quarter of 2020. Note that this quarter’s loss is after giving effect to $4.7 million of other expense charges primarily related to the exit of our South Gate fruit processing facility, compared with other income of $0.8 million last year. On an adjusted basis, second quarter 2021 earnings were $0.1 million or $0.00 per diluted share versus an adjusted loss of $7.9 million or $0.09 per diluted share in the prior year period. As Joe mentioned, adjusted EBITDA was $16.1 million, compared to $10 million in the prior year, a 60.8% increase. I’d like to remind listeners that adjusted EBITDA and adjusted earnings are non-GAAP measures and a reconciliation of these measures to GAAP can be found toward the back of the press release issued earlier this morning. Turning to the balance sheet and cash flow. As of July 3, 2021, total debt was $206 million, down approximately $243 million from the second quarter of 2020 and up $69 million from $137 million at the end of the first quarter due to the seasonal build of fruit inventory along with the acquisition of the Dream and WestSoy brands. Total debt reflects $159 million drawn on our asset-based credit facility with a balance representing smaller credit facilities lease and other financing arrangements. Leverage stood at 3 times at the end of the second quarter versus 6.3 times a year earlier. From a cash flow perspective, cash used in operating activities during the second quarter of 2021 was $39.1 million, compared to cash generated of $2.7 million during the second quarter of 2020. The change in operating cash flow versus last year was due to a stronger seasonal build of fruit inventory and more expensive inventory compared to this time last year. Cash used in investing activities was $32.4 million, compared with $6.3 million in last year’s second quarter, reflecting the acquisition of Dream and WestSoy. Prior to providing our outlook, I’d like to spend a few minutes on inflation, as this remains a major area of discussion across all industries. The potential impact of inflation on our business varies across three categories, which are, one, raw materials, two, operating costs, and three, supply chain costs. These three categories have different impacts based on how we go to market, which are, one, private label, two, co-manufacturing, and three, branded products. For example in our plant-based business, a significant amount of our revenue is through co-manufacturing arrangements, where our customers typically bear most of the risk of price variation in raw material costs. In contrast, our fruit-based business is more concentrated in private label product, where price pass-through timing tends to lag in where we are largely but not fully insulated from increases in raw material prices. In branded products we did not experience any material inflationary headwinds in the quarter. But changes in commodity prices would need to be offset by pricing and/or productivity gains. When we look at plant operating costs, we bear those costs entirely, so any inflation must be offset by plant productivity initiatives. Finally, when we look at supply chain costs or more specifically freight, there is limited risk with our co-manufactured products, because it’s largely picked up by customers, so they bear the impact of changing freight rates. It’s the opposite with our private label business where we are typically delivering the product to the customer noting there is some opportunity to pass along cost increases, but again it’s more limited and often lags in timing. Lastly, in branded products, we are exposed to changes in freight costs and need to offset those with productivity gains. In summary, like everyone we are facing rising costs in many areas, but the most meaningful areas to us today are more associated with our fruit-based and branded businesses because of the delivered nature of the product and we must absorb much of the outcome transport. Our plant-based business is largely insulated. In total, given our increase in overall margin we have demonstrated our ability to grow gross profit and EBITDA, despite an inflationary environment. At this time, we don’t see any inflationary trends in our business that will dramatically impact this progress as we go into the second half of 2021. Let me close by providing some commentary around the outlook for the second half of 2021. Obviously, there is uncertainty surrounding the impact of COVID-19 and the potential changes in consumer behavior as a result. But based on our current expectations we offer the following outlook. On the topline we forecast plant-based looks similar to Q2 in terms of year-over-year growth. In fruit, we similarly think revenue will look like Q2 with single-digit declines. From a margin standpoint, it is very much the same story, with plant-based remaining in the high-teens and fruit being similar to last year’s margin levels, recognizing we have more challenging comps in the back half. Finally, from an EBITDA standpoint, we forecast strong year-over-year improvements, again recognizing our comps get tougher in the second half where last year’s second half represented 60% of 2020 EBITDA. Before opening up the call for questions, just a reminder that for competitive reasons we do not provide detailed commentary regarding customer or SKU level activity. With that, I’d ask the Operator to please open up the call to questions.
Operator: [Operator Instructions] And your first question comes from Andrew Strelzik with BMO.
Andrew Strelzik: Hey. Good morning. Thanks for taking the question. My first one is about your commentary around the competitive mode and competitive dynamics and it certainly sounds from the data points that you provided like everything is in a good place and you mentioned some ways that you’re building your competitive installation. But can you talk about what drives your competitive mode where you’re -- what you’re doing to build that competitive installation and if you’ve seen any changes in competitive dynamics kind of over the last several months or quarters?
Joe Ennen: Thanks, Andrew, and good morning. In terms of changes in the competitive landscape we have not seen anything material so far this year. In terms of how we view our competitive differentiation in the marketplace, we were particularly proud of the strength of our R&D organization and our ability to partner with big CPG companies to drive innovation and deliver the quality that they expect day in and day out. Second is we have very deep long relationships with our customers. And third, we believe we have a very advantage supply chain, and certainly, the project that we referenced in Texas is a major strategic unlock for us against our priority of doubling the plant-based business. The supply chain advantages that affords us along with adding capabilities, as well as cost and sustainability differentiators is going to be just a further strengthening of our business model. This gives us a plant in or within 100 miles of four of the five biggest states in the U.S. with Texas of course being the second biggest state in the U.S., and so we’re excited about that as a further insulator for the business.
Andrew Strelzik: Okay. That’s helpful. And then, on the outlook for the fruit-based segment, is the change from a topline perspective relative to what you’ve communicated prior. Is that really related to the pricing that you mentioned or are you seeing some underlying improvements, whether it’s in the fruit snacks that you mentioned or otherwise that the outlook underlying is actually improved?
Joe Ennen: Yeah. We, as referenced, were optimistic and have great momentum in the fruit snacks business. Frozen fruit in 2020 had some pretty major volatility from a COVID standpoint. And so we’re seeing some return to normalization, if you will, in the retail landscape and so we think those two factors combined afford us the opportunity to deliver a pretty solid back half number relative to the SKU and customer rationalization that we’ve done.
Andrew Strelzik: Sure. That makes sense. And then just lastly from me, is there any other detail you can provide on the kind of mega facility that you’re talking about with respect to either costs or products or I know you’re expanding your R&D capabilities with the new facility using the new headquarters. So I am not sure if that plays into it, but just any kind of color around that would be helpful? Thank you.
Joe Ennen: Yeah. I think we’ll get into unpacking that as we get kind of closer. I mean we’re at the stage now, I mean, we’re on the doorstep hopefully of signing a lease here and we’ve done site election. We have kind of broad understanding around capabilities that we’re going to put in. But this facility is really on a unlock for growth in 2023 and beyond. And so, I think, it’s probably more appropriate for us to kind of hold on specific there until we get closer. So hopefully that makes sense.
Andrew Strelzik: Yeah. Absolutely. Thank you very much.
Operator: Your next question comes from Jon Andersen with William Blair.
Jon Andersen: Hey. Good morning, Joe and Scott.
Joe Ennen: Good morning, Jon.
Scott Huckins: Good morning.
Jon Andersen: Okay. A lot of areas we could go into. Let me start by asking a little bit about foodservice, which was a strong channel for you in the quarter, obviously, you’re getting help from the kind of the rebound in that channel. You did call out a customer in the prepared comments, I think, your largest customer in reference to oat-based products, I think, you’re supplying oat-based products for them. Is that new and is that durable?
Joe Ennen: Yes. That is new. With oat we started shipping out to Starbucks in the middle of the second quarter. We’re playing a secondary supplier role there. We were pleased that we were able to step in and help our largest customer with one of our SunOpta branded products. I know some of the folks on the call haven’t seen that product in stores and have asked us about it. So we were -- we felt fortunate that we were able to step in and help them. In terms of durability, we would fully expect that we will be in a position to continue to help them well into 2022.
Jon Andersen: Okay. Thanks. That’s super helpful. And then, you mentioned that, I thought, it was interesting you kind of called out brands -- your own brands in the -- a little bit more I think than you have in the past, even noting they’re playing an increasingly important role in the portfolio from a contribution perspective. Could you talk a little bit more about that and how you kind of do that in a way that allows you to remain kind of customer agnostic as well.
Joe Ennen: Yeah. Obviously, with the acquisition in mid-April, the revenue that we realized was 100% incremental. And so, brands delivered -- just the acquisition delivered 5 points of the 21 points of growth that you would have seen and so we felt it was appropriate to call that out. I would tell you to-date our brand initiatives have been additive with no subtraction. The integration is going well, the sales volume is coming in exactly as we’ve expected. We’re very focused on non-cannibalistic growth levers and trying to push on non-cannibalistic activities with respect to our large co-manufacturing customers. And really what I can tell you is, since the acquisition, all of the activities with our major co-manufacturing customers have all been around deepening and lengthening our partnership.
Jon Andersen: Okay. Thank you on that. And I did also want to ask, sorry, I am circling back around too, you made a comment on a multiyear extension with the -- to co-man for the largest, I think, oat milk brand in the U.S. Did I hear that one right and is that a -- how new is that and what kind of duration or visibility does that that new arrangement kind of provide you? Is that kind of part of the calculus for the geenfield facility in Texas, you’ve just seeing in aggregate more demand, longer relationship durations from big customers in plant-based?
Joe Ennen: That is not a new relationship for us. That has been a longstanding relationship with the company that is currently running the leading national brand in oat milk in the U.S. and it was a multiyear extension.
Jon Andersen: Okay. I guess, the last question, I’ll pass it on, is around just outlook. I think, last quarter -- I may be a little off on this, but last quarter you may have said, that you expected strong double-digit EBITDA growth in 2021. I think today you said EBITDA growth without the double-digit. I might just be parsing words, but has the outlook changed at all in terms of EBITDA in the second half or for the full year relative to your initial expectations or expectations as of last quarter? Thank you.
Scott Huckins: Hey, Jon. It’s Scott. Good morning. I’d say, no, the outlook has not changed. I think what we want to recognize is that the comps obviously get a lot tougher in the back half. I think I pointed out that 60% of last year’s EBITDA was in the second half. So, no change in outlook, just on a comparative basis the 10% of comps, that’s really the takeaway.
Jon Andersen: Okay. Thanks very much.
Operator: Your next question comes from Alex Fuhrman with Craig-Hallum Capital.
Alex Fuhrman: Great. Thanks very much for taking my question. I wanted to talk a little bit more about oat milk, I think, that’s pretty amazing that it’s driving half of your revenue growth in plant-based considering it’s still a relatively small category. Can you talk about where that growth is coming from, is that in more grocery or foodservice? And then as we think about the capacity you have coming online over the next year or two both the new Texas project that you alluded to today, as well as some of the other previously announced projects that haven’t come online yet, how much of that new capacity is going to be related to oat?
Joe Ennen: So, on the first part of your question, food service or retail, the answer is, yes. We’re seeing strong oat growth in both retail sales, co-manufactured brands is that predominantly sell into retail. So that was a strong growth driver, growth lever, excuse me, as well as significant growth in our foodservice sales of oat milk. So both channels were strong drivers of oat. Certainly relative to the capacity additions that is a network answer in that, yes, those projects will absolutely enable further growth in oat milk.
Alex Fuhrman: Okay. Great. That’s really helpful. And then just thinking about your different customers and channels, it sounds like retail grocery store business continues to be strong, even as you’re lapping tough comps related to the pandemic last year. What does that look like as you kind of move into the third quarter and fourth quarter, presumably foodservice is going to continue to recover on the other end of the pandemic. Are you expecting maybe some choppiness as kind of the push and pull between retail and foodservice plays out or has it been pretty much smooth sailing so far as the channels shift?
Joe Ennen: Q2 -- the Q2 overlap in foodservice was by far the biggest overlap anomaly that we experienced last year and so we would see it returning to more historical levels and more traditional overlaps. And that’s why we’ve shared some of the 2019 numbers as we’ve gone through this, as well as obviously, it’s a little bit easier to compare to the pre-COVID dynamics of the business than always trying to explain the crazy overlaps from last year.
Alex Fuhrman: Great. That’s really helpful. Thank you.
Operator: Your next question comes from Mark Smith with Lake Street Capital.
Mark Smith: Hi, guys. A couple of questions for me, first off, you’ve talked about inflationary pressures that you’re seeing kind of across the Board. Can you talk about your ability to take price in your branded products?
Joe Ennen: Yeah. As Scott referenced, we’ve not experienced any major inflationary pressures on the branded side of things. What I would say is, obviously, the U.S. retailers are certainly on the receiving end of significant price increases from many, many, many brands, so I don’t think it would be an odd conversation if we found ourselves in, call it six months time having to go into the grocery retail environment and take a price increase. But as Scott referenced, as we sit today, we do not foresee any material inflationary pressures on our branded products that would require us to take a price increase.
Mark Smith: Okay. Great. And then, as we look at the fruit business you guys talked about some of the headwinds that you face there. Anything you can give us on kind of your outlook and what it would take to turn this business profitable again?
Joe Ennen: Yeah. I mean, I’ll offer kind of a summary of the season, I mean we met our path plan. So we processed as much fruit as we need for the next 12 months. The plants ran better than prior year, but the cost of the fruit, meaning the price that we paid to the growers was significantly higher than previous years, really as a result of just the really skinny inventory positions that everybody in the industry had produced a bit of a pricing frenzy if you will that lasted for the entire season. We obviously feel like over time we can get that pricing moved through to our customers, but we pay for the fruit all upfront and then we realize the pricing over 12 months. So, but in total, I mean, we feel like we can get the majority -- the vast majority of that higher cost fruit passed on to our customers, it’s just not an overnight activity. So, Scott, anything to add there?
Scott Huckins: Yeah. I would say, it perspective helpful. I think the two headwinds right are, as Joe just accurately summarized, fruit pricing, but also the peso strengthening is also a bit headwind, because remember we’ve got a large facility, we’ve just run 50% more fruit through down in Mexico. I think when I reflect on, I am pleased that, I think, we’ve pulled the right strategic levers, 3 times more sourcing of fruit in South America, 50% more processing in Mexico, that’s obviously cost advantaged relative to our U.S. footprint, then automation running through those plants, the footprint consolidation and the SKU at work we have done. I think we’ve pulled the appropriate levers. I think the key will be just the time scale of the development of those price increases.
Mark Smith: And looking at the fruit snack business that’s doing well, is there just not enough to really drive that business higher to make up for some of the headwinds that you faced in other places? And then if you can talk about the new food bowl business, is that just a timing or that’s going to take a couple of quarters before we see any impact from those new products?
Joe Ennen: Yeah. I mean, we -- the fruit snacks business is a small but mighty growth lever for the business right now that we are looking to continue to invest in and drive expansion. And we’re incredibly bullish about the innovation potential in that business and the customer relationships that we have. So it is kind of full steam ahead on the fruit snacks business. It’s not as large as our frozen business, and therefore, just the levering effect will take some time. In terms of the bowls products, we share that in the context of one of our three strategic priorities and fruit is moving towards more value-added portfolio of products. And so, yeah, I mean, we have the product in distribution right now, but it certainly takes, I would say, north of four quarters for retailers to do resets, authorizations, et cetera. So, unfortunately, they are not aligned in their timing as to when they do reset, but we’ve had great reception for the product so far.
Mark Smith: Excellent. Thank you, guys.
Operator: At this time, there are no further questions. I will now hand the call back for closing remarks.
Joe Ennen: Great. Well, thank you, everyone, for your interest in SunOpta. We appreciate it and wish everyone a great day. Thank you.
Operator: That concludes today’s conference. Thank you for your participation. You may now disconnect.